Operator: Good morning, ladies and gentlemen, and welcome to Rogers Sugar's First Quarter 2021 Results Conference Call. After the presentation, we will conduct a question-and-answer session, which will be open only to financial analysts. Instructions will be given at that time. Please note that this call is being recorded today, February 3, 2021 at 8:00 AM Eastern Time. I would like to now turn the meeting over to John Holliday, Chief Executive Officer. Please go ahead Mr. Holliday.
John Holliday: Thank you, operator, and good morning, ladies and gentlemen. Joining me for today's call is Jean-Sebastien (JS) Couillard, our VP-Finance and CFO. During today's call, I will provide some insights on trends in our industry and an update on our outlook for fiscal 2021. Please be reminded that today's call may include forward-looking statements regarding our future operations and expectations. Such statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied today. Please note that we may refer to some non-GAAP measures in our call. Please refer to the forward-looking disclaimers and non-GAAP measure definitions included in our public filings with the Security Commission for more information on these items. Before getting into the specifics of the first quarter, I wanted to touch briefly on how COVID-19 is affecting our business and what we are doing to manage through these challenging times. We continue to feel the impact of COVID-19 on our business in several ways ranging from the obvious, employee health and operational continuity challenges to less particular things such as unexpected swings in customer demand, supply chain distortions and disruptions and various packaging supply chain outages, all of which we are adapting to and managing well. Since the beginning of the pandemic, our first priority has been the health and safety of our employees and that has not changed. To help ensure the safety of our people, we continuously monitor risks in the workplace, and are adapting our work environment so our employees can safely perform their jobs. As numbers have increased in Canada, we have also seen similar patterns across our operations. Despite these increases, our thorough safety processes and committed staff have successfully protected our business. We have had no operational disruptions at any of our facilities and have responded to significant swings in demand with nothing less and reliable delivery of essential ingredients to critical supply chains. We have a trusted environment or open communication that's provided early awareness of risks and helped maintain control of our operations. In the first quarter of fiscal 2021, we estimate that we have invested approximately $1 million across our sugar and maple business units in COVID-19 related expenses. Looking forward, we will not waver from our commitment to adapt our COVID-19 health and safety measures as necessary to provide a safe and reliable operating environment. Now let's look at our first quarter results. Adjusted EBITDA in the first quarter lowered from the same quarter last year, and was also below our internal expectations. Despite higher volumes and revenue and a stronger quarter in the Maples segment, consolidated adjusted EBITDA was lower, largely as a result of direct and indirect impacts of COVID-19 in the sugar business. A number of factors influencing our first quarter results are short-term in nature and we fully expect to see improved performance over the balance of the fiscal year. Our sugar volumes in the first quarter reached 190,000 metric tons, 2000 metric tons better than our last year, but below our expectations. After a record fourth quarter volumes we were left with lower than usual inventory levels and made adjustments to our supply chain to allow us to meet our first quarter volume projections. Continued strong sales in October and November proved these plans to be necessary. However, as COVID-19 health measures ramped up, we experienced uncharacteristic holiday shutdown schedules which resulted in a much softer than expected end to the quarter. The demand reduction over the holiday period represented the entire shortfall against our internal forecast. While losses proven to be purely a timing issue as the volume loss during the period has been picked up by an above average shipping cadence in January. The adjustments we made to our supply chain in the quarter required us to leverage our Western operations to support Eastern sales demand and protect customer needs. While these changes led to additional costs in the first quarter, we do not expect the higher cost level to continue into future periods. Our Sugar segment financial results were also impacted by some additional costs incurred in our Taber operations in the first quarter. In order to recover from last year's crop losses and replenish our exhausted beet sugar supplies, we made investments in early harvest beet sugar premiums which allowed us to start our campaign three weeks earlier than normal. Premiums are paid to growers to compensate for yield losses associated with the shortened growing season. As commented on our last call, we also incurred some limited sugar beet crop losses due to the adverse weather experienced during the latter stages of the harvest. The harvest has now been successfully completed with an estimated production of 128,000 metric tons of sugar. And finally, we saw slower than expected byproduct sales as feed formulators were slow to adjust rations to the renewed supply of beet products. The delayed by product revenues will be captured in subsequent quarters. Overall, we expect our sugar business -- Sugar segment to perform well in fiscal 2021. Despite lower-than-expected volumes in the first quarter and the delayed timing of some revenues, we expect strong underlying demand and a successful beet harvest to result in higher sales volumes and improve financial performance over fiscal 2020. As a result, with our positive outlook we have increased our full year fiscal 2021 sales volumes to approximately 776,000 tons, an increase of 15,000 metric tons over fiscal 2020, which you will recall included an extra shipping week and 10,000 tons over our previous guidance. Higher volumes in fiscal 2021 are expected to be driven by improved demand in the industrial and liquid areas and higher export volumes as a result of the new export orders and the resumption of deferred sugar shipments to Mexico. Overall, we expect stronger volumes, the resumption of byproduct sales and reduced nonstandard supply chain costs during the balance of the year will deliver improved year-on-year financial performance for the Sugar segment. In our Maple segment we had a strong first quarter. Sales volumes have been very firm since the onset of COVID-19 and continued in the first quarter. Interestingly, similar to our Sugar segment, December shipments were softer than expected and have subsequently recovered. Price increases that we implemented in fiscal 2020 also began to be captured in revenues as new contract pricing took effect. In addition, manufacturing costs have continued to improve, driven by operational optimization and efficiency improvements. Looking forward, we expect to see ongoing strong performance in our Maple segment in fiscal 2021. Improvements to strengthen the sales margins and improve operational efficiencies evident in the first quarter are expected to continue throughout the year. Sales margins are expected to improve as the impact of successful contract negotiations with new and existing customers in 2020 come into effect. In addition, we expect ongoing optimization of our manufacturing facilities, efficiency improvements at our new Granby facility and existing Dégelis plant to continue to drive lower operating costs in 2021. We expect COVID-related demand we have seen over the past few quarters to temper in 2021. However, we believe that firm underlying demand for maple syrup, combined with our improved margins and lower cost structure, will result in improved financial performance for full year fiscal 2021 compared to 2020. Before wrapping up, I want to provide a brief update on our strategic collaboration with DouxMatok, a food technology company and pioneer in the development of efficient flavor delivery technologies. DouxMatok is focused on delivering a unique natural sugar reduction solution based on cane sugar to food companies in North America. With the benefit of DouxMatok's recently hired sales and product development resources in the United States, customer prospecting efforts are now underway. During the quarter, in Canada, DouxMatok and Lantic also entered into a partnership with Caltech, an innovative food ingredient distributor with in-house research and developmental capabilities. This collaboration will support sales to Canadian businesses who are looking for sugar reduction solutions to export to the United States. Their partners, we are now organized to build awareness and engage with customers who are interested in sugar reduction solutions. In cane sugar is a value-added ingredient that requires a commitment to product reformulation. Customer R&D resources are the first step in the product approval process. Selling cycles for [indiscernible] will be long. Accordingly, we do not expect any material selling developments until fiscal 2022. I want to again thank our employees for their continued effort and collaboration, especially throughout the COVID-19 pandemic where they have proudly demonstrated their commitment to each other and to our customers. Now, I will turn the call over to JS, who will provide additional information on our quarterly results.
Jean-Sebastien Couillard: Well, thank you, John, and good morning everyone. As John mentioned, COVID-19 is having a variety of impacts on our business. While we are currently experiencing higher sales volumes in both our sugar and maple segments, we are also seeing increased volatility in customer demand, which impacted our cost structure and compressed margins in our sugar business this quarter. In the first quarter of fiscal 2021, consolidated adjusted EBITDA decreased to $27.6 million, down 9% from the same quarter last year as lower than anticipated financial results in the sugar segment was partially offset by the improvement of our financial performance in the maple segment. While adjusted EBITDA was lower quarter-over-quarter, most of the factors influencing our operations were either timing related, nonrecurring or short-term in nature and we continue to forecast improved financial and operational performance for fiscal 2021. Turning to our sugar segment now, in the quarter sales volumes increased to 190,000 metric tons, an increase of 1.1% over the same quarter last year, driven by improvements across most customer segments, partially offset by a temporary reduction in industrial volumes. The underlying factors that drove increased volumes in the quarter, include continued growth in home-based baking and meal preparation in our customer retail segment at both in liquid volumes driven by additional volume from new and existing customers and higher export volumes largely due to higher beet sugar sales to the United States under the roots to be ratified [indiscernible]. It is worth noting, that in our industrial segment after a strong first two months in the quarter, we experienced an unexpected postponement of industrial orders that we believe are largely attributable to a slowdown of the food service business sector during the last holiday season. This unexpected postponement led to lower year-over-year volumes for industrial customers in the first quarter. Adjusted gross margin was largely unchanged from the prior quarter as the benefit of increased volumes and a positive sales mix was mostly offset by increased operating costs. We incurred slightly higher costs this quarter in relation to the early harvest of beet at Taber and the timing off meeting this cost in our production facilities. Adjusted EBITDA for the sugar segment was lower for the quarter due to higher administration and selling expenses and higher distribution costs. Selling and administrative costs increased largely due to the costs associated with COVID-19 with about $1 million COVID related costs incurred in the quarter. As for distribution costs, as John mentioned earlier, we faced nonrecurring logistical challenges in the first quarter as we needed to leverage our Western operations to support anticipated Eastern sales. This situation was mainly due to the exceptionally strong shipment at the end of the fourth quarter of 2020. Now looking at our Maple segment. In Maple, we had a strong quarter with higher volumes and lower costs leading to adjusted EBITDA of $4.9 million, an increase of 20% compared to the same period of last year. Maple volumes continued to improve as demand remained strong. The situation continues to be driven by the shift in retail customer habits due to the COVID-19 pandemic. In the quarter, we sold more than 14 million pounds of maple products, an increase of over 2 million pounds from the same quarter last year. Adjusted gross margin were largely unchanged from the same period last year. However, it was lower on a percentage basis at 8.9% compared to 10.6% last year. This variance is mainly due to the lagging impact of lower margin customer contract which have progressively expired. While margin percentage was lower quarter-over-quarter, the impact of improved pricing, negotiated in the later part of 2020 has started to benefit the company and when compared with the average of the last three quarters, gross margin percentage increased by 90 basis points this quarter. As the old contracts roll off, we expect margins to continue to improve throughout the year. Adjusted EBITDA in the quarter also benefit from the lower administrative and selling costs, and from reduced distribution costs. These reductions were a direct consequence of efficiencies driven by the integration of our operations and the recent investment made in our business. Finally, I would like to close with some comments on our financials. Free cash flow for the last 12 months decreased by about $1 million compared to the period of last year, despite higher trailing 12 months adjusted EBITDA, mainly due to non-business operation factors, such as share repurchases initiatives. During the first quarter, we continued to return capital to shareholders through dividends. In the first quarter of 2021, we paid out $9.3 million in dividends. The payment of our quarterly dividends continue to be an important part of our financial strategy. We currently have over 10 years of steady quarterly returns to our shareholders. To this point, I will also add that on February 2, 2021 the Board of Directors declared a dividend of $0.09 per share. The total payout is estimated at $9.3 million, and will be paid next April. In conclusion, I would like to highlight that despite the lower than anticipated financial performance of our Sugar segment in the first quarter of 2021, we are firmly expecting under the current conditions a strong financial performance for the remainder of 2021. Our Maple segment financial results are improving and should continue to do so throughout 2021. The volumes and margin projections for both of our business segments are in a positive trend and are expected to deliver improved financial performance in 2021, compared to prior year. With that, I would like to turn the call back over to the operator for questions.
Operator: [Operator instructions] Your first question comes from line of George Doumet from Scotiabank. Your line is now open.
George Doumet: Yes, good morning, guys.
John Holliday: Good morning.
Jean-Sebastien Couillard: Good morning.
George Doumet: Hi, just a quick clarification on the Sugar segment, do you guys still expect modest EBITDA growth in fiscal 2021?
John Holliday: Yes, we do, absolutely.
George Doumet: Okay, thanks. And John, there's been a few iterations on the revenue profile of the Maple business since you've acquired it. Looking at fiscal 2021, maybe after accounting for I guess the COVID hangover, how much do you think this business will grow at or what cadence?
John Holliday: So, I think we're going to do one, we'll take one year at a time. We are on the right trajectory now. We're starting to be able to recover our costs and get moderate increases in margins. So that's a very positive thing. Volumes actually have kind of exceeded our expectations and I think if we're patient and we stay the course, we have been reducing our operating costs and continuing to recover costs and improve our margins at a moderate rate, that we will move towards the initial goals that we had with the business, but it's going to take time. These things are I guess patience and perseverance are important. But we're happy with what we did in this quarter, and we think we're on the right trajectory to positive EBITDA growth.
George Doumet: Okay, if I am not correct me, the initial goals or kind of mid-to-high single digit topline was active [ph], if you guys were calling for, when it was acquired?
John Holliday: High-to-mid-single-digit topline. Are you talking on a percentage basis, can you clarify that?
George Doumet: Yes, percentage basis, yes.
John Holliday: Yes. So we're right now on 9.
George Doumet: Okay. And when would you expect the bulk of the contract renewals over there to happen, and I'm just trying to get a sense of wanting to see, I guess most of the margin improvements.
John Holliday: Yes, so most of the contract renewals have occurred. It is similar to our Sugar business. It's kind of a continuous process right? So we did a lot of work last year on, again recovering our costs and improving our margins, so that work has been done. We'll be getting into another cycle shortly and we'll continue that processes as I said it's kind of run rate trajectory. It is perseverance we need, and we stay on the strategy of recovering new costs and finding moderate margin increases over time. So cycle one is largely done, we're going to be moving into cycle two next.
George Doumet: Okay great and just one from me for JS, what's the CapEx number for this year for Maple and then maybe remind us what the maintenance CapEx would be for both the segments?
Jean-Sebastien Couillard: Yes, on the Maple side it's fairly minimal. I think we're talking less than $1 million dollar. I mean, we've done our investment in the prior year specifically at the Granby facilities and now we're starting to put that into motion with the production and I think we've seen that in our costs. Overall for the organization we're looking at approximately $25 million. So we're aligned with the guidance that we gave at the year [ph].
George Doumet: Okay, how much of the 25 will be maintenance?
Jean-Sebastien Couillard: I would…
John Holliday: Yes, go ahead Jean.
Jean-Sebastien Couillard: Yes, I can answer that. generally speaking, we've got about a 70/30 split. So staying in business kind of 70%, 30% return on investment kind of activities.
George Doumet: Great, thanks Jean for that. Good luck.
John Holliday: Thank you.
Operator: Your next question comes from the line of Stephen MacLeod from BMO Capital Markets. Your line is now open.
Stephen MacLeod: Thank you. Good morning guys.
John Holliday: Hi, Stephen.
Jean-Sebastien Couillard: Hi Stephen.
Stephen MacLeod: Hi, I just wanted to follow up quickly on a question that George has asked around the Maple contracts. You mentioned that cycle one is done and you're sort of moving into cycle two on the renewals. Are you able to give any, like some color on what percentage of the contract base, like cycle one versus cycle two represents, or is that maybe not the right way to think about it?
John Holliday: Well in most cases we have year-on-year contract, so we've finished, last year we kind of and we did the full set and now we're, through the year we're going to be renewing contracts as they come up and we'll pursue the same kind of process. They don't come up all in one day, obviously. So pursue the same process, recover costs and look for moderate margin improvements.
Stephen MacLeod: Right, okay now that's helpful. And then I just wanted to clarify on the Sugar volume side, just a couple of things. In terms of the industrial shortfall that impacted this quarter, am I right to understand that a lot of that or most of that or all of that was recovered actually in January, or is it something that will take couple more months or quarters to recover?
John Holliday: It's fully recovered in January. What we lost you can recall, disappointment in terms of the volume outcomes in December, which really happened in the last two weeks, has been all recovered in January. As you can see though we still have even a more optimistic outlook on volume across the business in the fiscal year.
Stephen MacLeod: Yes.
Jean-Sebastien Couillard: And John and Stephen if I might add here, not only that the volume has recovered, but also our level of inventory is such now that we're more comfortable from a logistics point of view and yes, our ability to serve our Eastern customers.
Stephen MacLeod: Right, okay. Okay, that's not helpful. And then just with respect to the volume outlook, there were some movements on the volume side in terms of the 2021 expectations. So the industrial number moved higher and I'm just wondering if you just can talk a little bit about what led to the export volume outlook being moderated slightly, and the consumer volume being increased from where you were previously?
John Holliday: We are trying, I'm not sure if I am sneaking up totally with that, I'll give that, I'll kind of give you my feedback and JS, you may want to kind of add some color if needed. But if you're looking at it from the quarter that we just went through, we did better than last year on our consumer business and our export business, I think versus what you might have expected could have been a little bit weaker, because we didn't ship quite frankly as much high clear sugar into the United States because of market conditions were not as positive in this past quarter with the strengthening of the Canadian dollar and increased in number 11s. So that would have impacted this quarter that we went through. Those are kind of the two things that were substantially different, better consumer business and maybe a slight under performance on exports. Looking forward, our view on the businesses is that the export volumes will be strong, and that primary the liquid business will also outperform our original expectations. Those are the two key areas of kind of growth in the last part of the year.
Stephen MacLeod: Okay, that's great. And is that largely driven by higher demand or is it just the timing of shipments?
John Holliday: On the liquid side, we've on-boarded some new customers. We are seeing good strength in the customers we have, so some of it is organic. So it's both, a combination of organic growth and customer acquisitions.
Jean-Sebastien Couillard: Okay on the export side it's largely due to the fact we have the TRQ that is new and additional volume on TRQ, and we've renewed our export shipments to Mexico this year, which we suspended or curtailed last year because of the crops situation.
Stephen MacLeod: Right, okay. Okay, well that's very helpful and that's it from me. Thank you very much.
John Holliday: Thank you.
Jean-Sebastien Couillard:
Operator: Your next question comes from the line of Michael Van Aelst from TD Securities. Your line is now open.
Michael Van Aelst: Hi, good morning.
John Holliday: Hi Michael.
Jean-Sebastien Couillard: Hi Michael.
Michael Van Aelst: I want to start off with some cost questions and some of the volumes have already been dealt with, but, so you said in the quarter you pulled forward some maintenance costs. So can you tell us roughly how much that was and was it taken from the future quarters equally or one period in particular?
John Holliday: I mean I can answer that. So, it is, in the scheme of a quarter it is not significant to a certain extent. It's less than a million dollars, but overall it's really more about the timing of our shutdown and some of the timing kind of like, we've done a bit more in the first quarter versus the kind of like in between the first and second quarter. So we don't expect this to carry on for the rest of the year. It's more a question of like how we executed it, and it's kind of spill over in two quarters.
Michael Van Aelst: Okay, and then on the early harvest of the beets and I guess the payments for the premiums you had to pay to the farmers, how material is that?
Jean-Sebastien Couillard: Well, on an overall annual basis, it will get spread into the year in the first quarter, I would say it's the same range and some of the maintenance contracts that we just discussed.
Michael Van Aelst: Okay, and then, I didn't catch what the reason was for the delay in the byproduct sales and then I think it's molasses?
John Holliday: So, it's more byproduct pellets, so most of our byproduct pellets go to feed formulators and feed formulators because of the prior crop year, we're not able to include in their formulations the byproduct, the pellets. And when we started ramped up production, they had delays and we saw delays in their ability to change their feed formulations to incorporate the pellets, so that's the major delay, that's probably about a million dollars worth of time in effect as a consequence of that. To add to that, just to maybe to bucketize it in big buckets, so we had about a million bucks of pellets that we're timing. We obviously had the COVID versus the prior year which was about a million in our supply chain costs, more or less around to, so it's about $4 million of cost versus prior year that we incurred. Some of them are I guess recurring like COVID-19, pellets is timing and the supply chain we made the investment to protect our business. And we didn't fully benefit from all the volume that we should have as a consequence of those investments, but that volume has come. It's coming now.
Michael Van Aelst: Okay. And that -- the COVID costs, we should assume that those are going to persist for the foreseeable future?
John Holliday: Yes, I think we should. Yes, I think I've lost a lot of bets on when COVID is going to be over with my wife, and so I'm going to say yes, then they're going to prescribe.
Michael Van Aelst: But at least PPE changes and things like that, do you expect them to stick around after the vaccination program has kind of run its course?
John Holliday: To be honest with you, I think some of the PPE will probably say will stick around, but there's two components associated with it, probably and they may be equal. We didn't really dissect it that much, but one of them is, we spent quite a bit of money on allowing individuals that we think have a risk to be at home and be fully paid their wages or paid their wages so that their financial well being isn't impacted. And we have, I don't know, I'll give you just a magnitude, we have at times 10 or 15 people who could be out of work that we're paying. So those are part of the costs. And that is what I, when I make reference to a trusting environment, we want to make sure that our employees engage with our health professionals and advisors to where they're at. So we can take their, that situation and understand the risks fully and not learn about the risks through having transmissions at our facilities. So that part will probably go, that part, well I hope honestly, as I'm sure you do, will go away. The PPE I think will probably maintain higher PPE investments and costs in our business on a going forward basis. It is probably not just us, I'm sure that's the rest of the world as well.
Michael Van Aelst: Okay [indiscernible]. Go ahead, JS.
Jean-Sebastien Couillard: Sorry Stephen, sorry Michael. No, the only thing I was going to add is on the cost is that we're at the same pace about a million a quarter than we were last year, I mean, COVID impacted us for about three quarters last year, so we're at about the same pace. And as John mentioned, those are same type of costs, some of them might stick afterwards. Sorry for the interruption.
Michael Van Aelst: Okay. All right. And then that extra $2 million of distribution costs to move product, I think you said from the west to the east, is that, was that strictly a Q1 issue or are your inventories back to normal levels?
John Holliday: Yes, we've finished Q1 with good inventories and we're, we've got a -- based on current forecasts, we're in good shape relative to that, so that should be a onetime cost. I mean, the only caveat, Steve, Michael to put out there is, we see a ton of volatility in our business. Trying to figure out what's going to happen one month there or one quarter or the next has been difficult. So based on our forecasts and our expectations, we're in good shape from an inventory perspective and from a manufacturing capabilities perspective on a going forward basis.
Michael Van Aelst: So are you doing anything to build inventories to try and give yourself a buffer?
John Holliday: Yes, we are using all available capacity to do that and some of that's pretty normal. We tend to have that and be in a period now between Q2 and Q4, where we do build inventories for Q1. So yes, we're absolutely building to the extent we can. You have to remember as well, a good chunk of our businesses is bulk, so bulk can't build several, limited amount of inventory, so that we have to respond to just in time, on a just in time basis.
Michael Van Aelst: Okay. And then last question on the cost. You highlighted some additional employee benefit costs, and then mid costs. Are those specific to the quarter or are those did you take on additional staff?
Jean-Sebastien Couillard: Yes, in some instance, we took some additional staff, and there's also the annual salary review or compensation review that we have in our cost. So those -- should continue most of the variance will continue probably quarter-over-quarter.
Michael Van Aelst: Okay. Right, so on the last quarter conference call, you were asked whether your sugar EBITDA guidance for modest improvement was considered conservative. You still feel that way or does the kind of Q1 performance make you think that you can't go that far anymore?
Jean-Sebastien Couillard: Well, I mean, I can start quickly. I mean, I guess yes, we said it was conservative. When we look at our volume outlook for the year, I mean, I agree that the first quarter was not as we had initially anticipated. However, some of the volume has been displaced. So if you exclude the one-time costs that we just talked about, which is mainly logistics, I think we're still, I would say cautiously optimistic for our EBITDA level for 2021 versus 2020.
Michael Van Aelst: All right, and last question on…
John Holliday: Maybe just say versus 2020 we're optimistic. We will do better than 2020. Yes. I'm very confident than that.
Michael Van Aelst: Okay, and then just finally, on the maple side, wondering how you would rate the operational efficiency of the new supply chain versus what you ultimately were hoping to get to with the investments?
John Holliday: I would say we're very close to where we expected to get to on that on that front. You've got a little ways to go, not a long ways, but the plan operating efficiencies are very close. And we set ambitious goals in that business and we're getting very close to those goals.
Michael Van Aelst: Okay, so to get to your original targets from, you know, initial at the time of the acquisition, that's more of a gross margin recovery from pricing it [indiscernible]?
John Holliday: Yes, totally.
Michael Van Aelst: Yes. All right, perfect. Thanks, guys.
John Holliday: Okay, Michael.
Operator: [Operator Instructions] Next question comes from line of Endri Leno from National Bank. Your line is now open.
Endri Leno: Hi, good morning, and thanks for taking my questions. Lots of us have been asked, but actually just a quick one on the DouxMatok agreement that you have. I was wondering, I mean, you mentioned John that it requires some R&D commitment. And you've already talked to a food manufacturer. But from some of the materials out there, it seems that there's a major reconstitution needed of the products that DouxMatok is using. I mean have you or them have had any discussion with major food manufacturers and what is their stand on this? And as a follow up to that, will register will only be responsible for manufacturing other product or will be doing some of the sales as well.
John Holliday: Okay, on to multiple questions. So on the product sugared production solutions that are offered -only talk Rogers, every single one of those requires a significant reformulation undertaking by any customer. So really, we're trying to engage quite frankly, with customers who have a view of a healthier, delivering a healthier product or have a view of trying to reduce sugar content in their products to respond to maybe future front of pack labeling thing, challenges that will come. So nobody, our product and any product in that segment requires significant reformulation. I would argue potentially that our reformulation on a deal with DouxMatok, because it's still 60% sugar is probably less than some of the other alternatives. But all the same it requires a significant R&D effort. So that's hopefully that answers that question from a selling perspective, we have two relationships with DouxMatok. We have a North American agreement. The product is approved for sale in the United States and in the United States DouxMatok employs the individuals and the sales and marketing area. And they were strictly or strictly were, quite frankly a cope manufacturer, I guess an exclusive tool processor for their product and to sell into the United States. In Canada, when the product is approved for sale in Canada, right now it's not, the Atlantic will take on me the sales and marketing efforts for that product. But at this point in time, that's not, it's not available to us.
Endri Leno: Okay, now that’s a great answer, thank you. And would you have any timelines when it might be approved in Canada? And we haven't done any discussion there at all or?
John Holliday: I would say two to three years. It's not right in front of us. Let's put it that way.
Endri Leno: Okay, thank you. That's great color, thanks.
Operator: Your next question comes from line of Frederic Tremblay from Desjardins. Your line is now open.
Frederic Tremblay: Thank you. Good morning.
John Holliday: Good morning, Frederic.
Jean-Sebastien Couillard: Good morning, Frederic.
Frederic Tremblay: Most of my questions have been answered, just curious on may be your thoughts on what you've seen in January with more stringent COVID restrictions in Quebec and Ontario, as you've seen, maybe another round of pantry loading for the consumer segment, given the stay at home measures that have been implemented then maple in sugar.
John Holliday: We continue to see strong kind of sales on maple. That's no doubt no doubt about it. We're going to compare January performance has been good. And then our sugar, I'd say it's harder to say because we get a lot of more depends on the promotional activity of our retailer. So if we're looking at retail segment, it's hard to have a good view because it does tend to be in chunks. So I really can't comment on that. I think what you can say is the environment is no, no different than what it has been through these last whatever, nine months. So where we've seen performance, it's better than normal. We're continuing to see performance that's better than normal.
Frederic Tremblay: That's helpful. Thank you.
Operator: There are no further questions at this time. I'll turn the call back over to the presenters.
John Holliday: Okay. With that, that's all the questions. Thanks for their questions. Thanks for your continued support and following up our business and we look forward to catching up at the end of Q2.
Jean-Sebastien Couillard: Thanks, everyone.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.